Operator: Good morning. Thanks for waiting. Welcome to the Braskem Video Conference to present our Earnings Results for the First Quarter of 2023. Today, we have Mr. [Roberto Bishop] (Roberto Simoes), CEO of Braskem; Pedro Freitas, CFO of Braskem, and Rosana, Investor Relations Director. Please note that this event is being recorded. All participants will only hear the Braskem teleconference. Next, we will begin the Q&A session and we would like to take any questions you may have. If you have any issues or requests for assistance, please request assistance using the button here on this call. This event is also being broadcast live online through webcast and can be connected through www.braskem.com/ri. You will also find our presentation there. The slide deck is under your control. The audio will be available shortly after the event is concluded. Those following the presentation via the webcast may post their questions to the Braskem website. They will be answered by the IR team after the conference is finished. We'd also like to mention that any comments that may be made during this teleconference with regard to financial results, projections, or any other opinions, are only considered as projections. These results always pertain to uncertainty and there is always risk that is possible. Please be aware that macroeconomic conditions, industry conditions and other factors can also cause results to differ materially from those expressed in such forward-looking statement. Now, I'd like to turn the conference over to missus Rosana Avolio, Investor Relations, Strategic Planning and Corporate Market Intelligence Director. Mrs. Avolio, you may begin your presentation.
Rosana Avolio: Good morning. Ladies and gentlemen, and thank you for participating in Braskem’s results conference call. Today, we’ll present the results for the first quarter of 2023. Moving on to slide number three. I will comment on the company's main highlights in the period. In the first quarter of 2023 Braskem reported recurring EBITDA of $205 million and net profit of $184 million and a cash consumption of $261 million. Regarding the financial highlights, Braskem continue to present solid credit metrics with a very long debt profile in a stronger liquidity position, which guarantees the coverage of debt maturities in the next six years. As for the operational highlights of the company registered the global accident frequency rate with and without leave of 1.08 events per 1 million man hours worked resulting in an 8% drop, compared to the same period in 2022, reinforcing that safety is and always will be a non-negotiable value for Braskem. Furthermore, given the better global industrial activity, the company's operating performance in the period was higher than the previous quarter. With an increase in utilization rate in all regions and increased sales volume in all segments. As far the strategic highlights, Braskem progress in the project to expand the current capacity of green ethylene by 30% with fiscal progress reaching 95% until March 2023. And another agreement for the purchase of wind energy was executed in the period. In addition, Braskem Idesa together with Advario made in advance in the construction of the ethane terminal in Mexico, reaching 34% of fiscal progress in the period. Let's move on to the next slide. In the first quarter of 2023, the recurring EBITDA was a rounded $105 million, driven mainly by the better performance of global industrial activity, an inventory consumption in the transformation chain, impacting the petrochemical spreads in the international market. Therefore, we had an increase in sales volume in all reportable segments of the company. Let's move to the next slide. We'll cover the highlights in Brazil segment. In the first quarter of 2023, the petrochemical crackers in Brazil operated at an average utilization rate of 77%, 5 percentage points higher than the previous quarter, mainly explained by the adequacy of production considering the better demanding period. In this scenario, the sales of volume are present in the Brazilian market increased by 3%, compared to the previous quarter, and the volume of exports from Brazil increased by 10% and compared to the fourth quarter of 2022 due to better opportunities in the international market. In this context, Brazil’s recurring EBITDA in the first quarter of 2023 was $122 million, representing 49% of the companies consolidated recurring EBITDA. Moving on to the next slide. We'll talk about the action fronts related to the geological event in Alagoas. The total amount of provisions booked to to-date for the Alagoas geological event is BRL13.2 billion, as we can see in the left chart. BRL7.5 billion have already being disbursed. The outstanding amount of the provision, which ended the first quarter of 2023 at approximately BRL6.1 billion with 67% of the total amount provision booked under the short-term and 33% under the long-term. It's important to point out that Braskem cannot eliminate future developments related to the matter or its associated expenses. And the costs being incurred by Braskem may differ from its estimates or accrued amounts. Regarding relocation and compensation, on the right of the slide, Braskem continues to advance with the process of relocation and financial compensation of the families located in neighborhoods and risk areas in Marseille. The number of proposals for financial compensation submitted reached 18,933 at the end of the quarter, representing approximately 99% of the estimated total with approximately 93% of the proposals accepted. Additionally, the pre-allocation program had 99% of its education completed in March 2023. Moving on to the next slide, but still on the geological event in Alagoas, we will present the progress of the well closures and monitoring front, as well as the social urban measures. On the closing and monitoring of wells action front, as of the end of March of 2023 of the 35 well cavities nine are in the Sand Backfilling Group with one already completed and three are in advanced stage of filling. Additionally, I would like to highlight the main advances of social, urbanistic, and environmental measures. All 11 urban mobility actions are in progress, eight of which already have their executive project concluded, and three of them are already in the construction phase. Advances in the project of urban integration and development of Flexais and the environmental plan actions have already been started. Let's move on to the next slide, please. This slide presents the highlights of operations in the United States and Europe. In the first quarter of 2023, the PPE plans in the United States and Europe operated at a capacity utilization rate of 81%, an increase of 6 percentage points in comparison to the fourth quarter of 2022. This improvement is explained mainly by the inventory management during the quarter, due to the scheduled maintenance stoppages in the United States and higher availability of feedstock in Europe. Regarding sales, United States and Europe segment, registered a sales volume of 518 tons in the quarter similar to the previous quarter. Considering that the segments recurring EBITDA in the period was $98 million, that represents 40% of the consolidated recurring EBITDA. Let's move on to the next slide, when we'll talk about Mexico. In Mexico, the utilization rate was 72% in the first quarter of 2023. 3 percentage points higher than the fourth quarter of 2022. This increase reflects a higher ethane supply by Pemex in the period. Considering the higher feedstock availability and the demand increase in the region, sales volume was 11% higher when compared to the previous quarter. The better operational performance in Mexico combined with the increase in the international spreads resulted in a recurring EBITDA of $27 million in the first quarter of 2023, which represents 11% of Braskem’s consolidated recurring EBITDA. Moving on to the next slide, please. Regarding consolidated cash flow, Braskem presented a recurring cash consumption of BRL677 million in the first quarter of 2023. The consumption explained mainly by the working capital, which was impacted by the increase in sales volume, higher international reference prices, and also by the typical concentration of semi-annual interest payments on bonds in the international market during the period. Let's move on to the next slide, please. Braskem ended the quarter maintaining a very long debt maturity and strong liquidity position with around 6% of its debts coming due as of 2030. The current liquidity position covers all that is coming due in the next 76 months. Not considering the international revolving credit facility in the amount of $1 billion available until 2026. Going to the next slide, we will talk about credit metrics, and corporate leverage. At the end of the quarter, the net debt level remained in line with the previous quarter, and corporate leverage was 3.86 times, due to the lower EBITDA in the quarter, when compared with the same quarter of the previous year. Additionally, Braskem continues with solid credit metrics a very comfortable liquidity level and an average debt term of approximately 13-years. Let's move to the next slide, please. As previously released, Braskem has established several initiatives to maximize its cash generation considering the macroeconomic dynamics. Regarding initiatives with an impact on EBITDA, we continue advancing in our initiatives related to the optimization of revenues, seeking commercial opportunities with improvements of international spreads. Additionally, regarding initiatives with an impact on fixed and variable costs, until this moment we are reaching our expected target for the year. As for the transform for value program, it ended the first quarter of 2023 with an accumulated gain of approximately an additional $28 million, compared to 2022. Regarding initiatives with an impact on cash generation, we have made advances on all fronts with a focus on the non-recurring monetization initiatives, which reached approximately 75% of its completion in the first quarter of 2023. It's worth reinforcing that the company remains committed to the implementation of all initiatives mapped and the identification of potential new opportunities. Let's move on to the next slide, please. As part of our sustainable development strategy through innovation, we carried out the expansion of -- one of the company's main technology and innovation centers. In this expansion, approximately BRL108 million were invested in physical infrastructure and state-of-the-art laboratory equipment to accelerate the company's innovation process. The new building represents an increase of 25% in the research and development area of the technology and innovation center of Rio Grande do Sul. It's worth remember that Braskem has innovation as a strategic pillar. And in this sense, in 2022, BRL514 million were invested in innovation and technology, including in innovation and technology centers, technical and research centers, and in pilot plants in several regions where we operate. The project pipeline currently has a 198 projects with 360 dedicated members and 450 customers served globally. Moving on to the next slide. Regarding the advances in the ESG agenda, we recently published our integrated report, which meets internationally recognized reporting standards and shows the company's advances in the strategy for sustainable development. Additionally, in early February 2023, the company concluded the acquisition of Wise's equity stake. And we started to consolidate sales volume from Wise. This acquisition reflects the strategy of expanding product sales with the recycled content and is aligned with the Braskem’s commitment to eliminate plastic waste. Finally, during the quarter, the company closed with Casa dos Ventos, it’s six wind power purchase agreement. This contract foresees a supply of up to 22-years for Braskem, and added to the other agreements, the company estimates a reduction of 3.2 million tons of CO2 equivalent during the contract period. This agreement is aligned with our commitment to reduce 15% of Scopes 1 and 2 emissions by 2030. On the next slide. In the first quarter of 2023, we observed an improvement in spread and international markets influenced mainly by the improvement in global industrial activity in addition to lower inventories in the transformation chain at the end of the zero COVID policy in China. On the other hand, they enter into operation of new PE and PP capacity in the United States and China during the year may put pressure on spreads according to the projections of external consultants. Considering a longer view, the consensus is for a positive trajectory for the petrochemical cycle as a result of the expectation that the growth in demand over the next few years may be greater than expected, increase in supply. As we can see in the chart. Going to the next slide where we'll present to the prospects for 2023. For Brazil segment expectation is for the second quarter of 2023 are for maintenance of ethylene production level observed in the previous quarter even with the scheduled maintenance stoppages at the Rio de Janeiro plant during the period. On the commercial front, the resin volume is expected to remain stable. In the United States and Europe, the utilization rate should remain stable due to the scheduled maintenance stoppages in the United States for the period. However, the expectation is that sales volume will increase in the period, reflecting the reduction of inventory levels in the chain. Finally, in Mexico production is expected to increase, due to the greater availability of ethane. Consequently, the sales volume is also expected to increase. According to the main external consultants, the expectation is for the maintenance of the petrochemical spreads in the period. Now moving on to the next slide. We reinforce the main priorities for the year, take into consideration our strategic pillars. Our first priority is related to the optimization of asset operations with a focus on cost discipline to capture signatures in all regions. The second priority is to continue implementing financial preservation initiatives, creating value for our shareholders. Following here, in relation to the growth strategy, the focus is on the execution of investments to eliminate plastic waste and combat climate change in addition to following the implementation of the initiatives related to social responsibility and human rights. Regarding innovation, the company is focused on expanding strategic innovation and digital transformation. And finally, to continue advancing in all action fronts related to the geological event in Alagoas for fulfilling the commitments established in the agreements. Finally, I would like to reinforce that safe operations are and always will be the focus on Braskem’s operations as a permanent and non-negotiable value of our strategy. That concludes today's presentation of Braskem’s results for the first quarter of 2023. Thank you all for your attention. Let's move on to the Q&A session now.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Order first question comes from Pedro Soares with BTG Pactual.
Pedro Soares: Hi. Good morning, everyone. Good morning, Roberto, Pedro, Rosana. I have a few different questions, the first is about what we've been seeing with regard to a potential sale of Braskem. We -- could you please just remind us and go over the rights to minority shareholders in the event of purchase occurring by an outside agent or, let's say, perhaps, Petrobras exercises its right to preference or purchase. This discussion would be very interesting for us. If you could please elaborate a bit about that? The second question is about working capital. Could you please tell us a little bit about what we should think about the working capital dynamics? Especially with regard to -- from now up until the rest of the year and petrochemical prices? Can we envision something similar to what we have seen during the first quarter? Or is this something that should change over the next few quarters? Thank you.
Roberto Simoes: Hello, Pedro. Thank you for the question. I'm going to answer your first question related to the rights of the minority shareholders. Today, we have a shareholder agreement, just as a reminder. In addition, we have high loss, which governs the company activities and we are at level one. So, if there's any control change, if sales occur, the company will measure 100% of the tagalong for TQPM shares. So, we offer [Technical Difficulty] conditions of the offer. For TQPM, as to capital, I'm going to turn the floor to Pedro to talk about working capital. As you said, this is the topic related to shareholders. So we do not do any sort of negotiations in this context.
Pedro Freitas: Good morning. Thanks for your question. First, I'd just like to mention. As Rosana mentioned, we need to look at the company's bylaws and articles of incorporation there is a scenario where Petrobras may make a purchase and that will not constitute a change of control. So this brings us back to the that whole idea with the tagalong, and that's at 80%. This is essentially theoretical. Now, thinking about your second question with regard to prices and volume, there is utilization of working capital. This is something that occurs at many different points in time. What happens when we break apart working capital and look at accounts payable and other line items. What we see is that our level of earnings is that currently at a positive level, especially compared to other possibilities. What we see today is that we are improving our working capital, as well as our ability to generate additional capital. This is in addition to the normal scenario, and that's valued at currently $200 million. So if we think about what happens from now until the rest of the year, I certainly expect our capacity and that the $200 million that I mentioned to contain the natural utilization of this working capital. It's important to always be aware and to follow the price of oil, of course, and the price of our different products. There are many different elements that can have an impact on working capital.
Pedro Soares: Thanks, Pedro. Thanks, Rosana. Can I just follow-up, I don't know if it was just my connection, but there were some points where Pedro's audio cut out. But Pedro, when you mentioned 80%, can I just confirm this is only for standard shares, right?
Pedro Freitas: Yeah. That's right. It's exactly that 85% [Technical Difficulty] shareholders. Fix it according to the shareholders agreement, and [Technical Difficulty] the company.
Pedro Soares: Thanks, everyone.
Operator: Our next question comes from Vicente Falanga with Bradesco BBI.
Vicente Falanga: Thanks, Roberto, Pedro and Rosana. I also have two questions. First, what is the conversation at like right now with the rating agencies? And vis-à-vis, the 3.9% release. How receptive are they to hold the company's rating or to improve it? And another question with regard to a potential M&A. Pedro, what kind of experience could risk a potential risk of reducing the rating. Maybe a leverage buyout, would that have that risk? Because the media are mentioning a potential issuing of debt in order to assuage that that risk. So I'd like to understand whether that is something you're considering? And secondly, with regard to a potential shareholder, someone from Apollo perhaps or ADNOC, is it a matter of know-how for raw material usage or something else? Could you talk a little bit about that, please?
Rosana Avolio: I'm going to start, and Pedro will add to my [Technical Difficulty]. In relation to rating agencies, it’s very important to keep all the rating agencies very close to us, and we have done this for more than 10-years. So we provide them with information, assumptions. That being said, the ratings agencies are quite well aware of how our cycles work. So leveraging will respond to these different cycles. Now that being said, our interaction with ratings agencies is not just about the raw numbers, just the EBITDA, the agency does look at leverage numbers they do expect something like 2.5 times. So in the high period, we'll be at 1.5 times, and for a low period will be something like 4 times, this is similar to what we have seen in the past. Now there are also discussions with the ratings agencies that are very important, for instance, future projections. Otherwise, every time a cycle completes, the agency would upgrade or downgrade every company, and that's not what happens. They know about cycles. And when I look at our upcoming period that has some uncertainties, this needs to account for a relatively high volatility period. But if we look at the short and medium term, we see that especially our spreads, the vector of our spreads are pointing in the right direction. Now, any company which is in a low cycle, but as I mentioned, we have an extremely robust working capital. As I mentioned $7 million, so today, our company has $3.7 billion in capital and working. And I mean, we obtained a very small window. We did issue a few titles and we are in an extremely comfortable position for the coming year. And many of the comments that people make about that Braskem during a period such as this I mean, come on, we announced in our latest report, a previous report, a number of different initiatives. And now, we are reporting their development, and we're also announcing new ones. So again, it's not just a number, it’s -- it is the number during the moment in our cycle and considering future projections, and the company's momentum with regard to its movement and its ability to maximize cash flow. So when we look at all that, especially looking at our leverage, which is [3.86] (ph) as we as we reported during the last quarter, these numbers are extremely in line with what the ratings agencies expect. We have seen this year some changes in our leverage. If we look at our last year's first quarter results, we had a high cycle EBITDA rating, and I think this brings a lot of light to the company's EBITDA ratings.
Vicente Falanga: Thank you, Rosana.
Pedro Freitas: Hi, Vicente. This is Pedro. To answer your second question, ADNOC has direct operations in oil and gas among others. So there could be some synergy there. In terms of inputs or access to inputs or something along those lines. It also owns or rather controls as part of corporation, a complex that has a number of different units in Abu Dhabi called [Indiscernible]. I don't know what their strategy would be. So it's difficult for us, you know, without being aware of the transaction and what the proposal is, to imagine what, kinds of, synergies could arise. But looking at ADNOCs footprint, we see oil, gas, refineries, so we certainly can see some synergies there in terms of inputs, raw materials, and their control. But we'd need to look at it in more depth because they're separate, they're distinct participations. But they do have a partner in the [Indiscernible]. Now I don't know if they would engage in any kind of a composition, but it's possible.
Vicente Falanga: Thanks, Pedro. And just one last thing. The biggest risk, what would be the biggest risk? Could you talk a little bit about that?
Pedro Freitas: It really depends on how the transaction is carried out, we don't know exactly. There are some cases where there is an effect and there the buyout, and there are others where there's no effect. We don't know yet, we can't give you a definitive answer.
Vicente Falanga: But thank you. You've answered.
Rosana Avolio: Now Vicente with regard to the ratings agencies, they are so many different elements, but it's difficult to estimate what the impact might be. It really depends on who is issuing the rating, it depends on the governance rights. They need to look at the shareholders' agreements to figure out whether it's standalone or not. There are so many different variables, so that it's difficult to predict right now whether that would be a positive impact. And certainly, it's difficult to explain how, you know, how that affects our strategy, it really is up to each individual shareholder.
Vicente Falanga: Thanks, Rosana.
Operator: Our next question comes from Bruno from Morgan Stanley.
Bruno Montanari: Good morning, folks. Thanks for taking these questions. I don't know if mutual fox is here as well, but to reply to Rosana’s last answer, I understand that the company is following its strategy as normal. So I'd like to understand what happens with the company's change in leadership in the face of a challenging petrochemical scenario? What are the different considerations of the top management with regard to what happens at Braskem and upward? And, additionally, talking about financials, is the level of leverage at any risk of crossing any kind threshold, there's a company looking for a waiver or anything of the sort, I don't recall the exact details of the bonds. But could you answer anyway? And a third question, there was a relevant use of news that there was a loss in an arbitrage with regard to a shareholders' agreement. Could you tell us a little bit about what that discussion was like with regard to that arbitration?
Roberto Simoes: Hi, Bruno. Thanks for your question. We remain fully committed to implementing our strategy, the one that we have shared with the market. Just as a reminder, this strategy includes two very well defined routes for growth. One is linked to Bio Products, and our main anchor there is green ethylene. We are currently at the very last stages of investment, we've already started operating it, and we've ramped up production past the 30% that we have completed in the State of RS in Brazil. And we are committed to 1 million tons by 2030. This is a renewable material. We've already brought to the media a number of different discussions. For instance, in the United States to produce green PPE there, and also discussions with potential partners, especially located in Asia to expand our production of green eco polyethylene. So I believe that this would be an essential strategy for our growth. Another element with regard to renewables is our role in the circular economy and the image of plastic as a component. In that sense, we've been announcing investments in acquisitions and partnerships of all sorts. Not just in Brazil, but also in other regions, such as Europe. All of this is essentially focused on our two main new routes for growth. And our major vector for the company, which is to create value for shareholders, that's what really matters after all. So in that sense, we are completely uncoupled with regard to any discussion of purchase or sale. This is down to shareholders, it doesn't affect our strategy in the slightest in terms of looking at the future. So, again, to reiterate, our strategy remains the same, there are no changes. Okay, no changes to our strategies. With regard to our assets, which is, as I mentioned, the investments, they are the third pillar of our strategy. They occur where access to inputs and raw materials can be important, especially where we have the potential to remove bottlenecks. And where that could potentially lead to new investments. So we remain strongly committed to our strategy, and there is no connection to any change depending on the potential for a sale. Now with regard to the Petrobras question, I will let Rosana answer.
Rosana Avolio: Thank you, Bruno, for the question. In relation to arbitration, we have monitored the announcement of Petrobras this morning. And we are replicating what they commented on. This is an arbitration process, which is confidential. And with the information that we have, oh, as just like you, we do not have any further information, and that would be no -- there will be no impact on Braskem. We are just replicating what we heard this morning.
Roberto Simoes: And, Bruno, in relation to your question related to covenant. Braskem has an investment grade since 2011. So 11 years, 12 years, so when we did the process, of diversification, globalization of the company. Today, we have the balance base of feedstock, as you know, so well with the classified base of products. Braskem has a business of the specialties, so all this put together first gives us the seal of investment grade and considering that we are a company of investment grade. The company has no covenant for its corporate debts. So that would not be applicable to us. Thank you, Bruno, for the question.
Operator: Our next question comes from Gabriel Barra with Citibank.
Gabriel Barra: Hi, everyone. Can you hear me?
Roberto Simoes: Yes. Yes, we can.
Gabriel Barra: Hi, Rosana. Hi, Roberto. Thanks for taking my questions. I have two questions, the first is about the tagalong question. That's something that's not so simple or clear to me, it’s clear to me that the matter of Petrobras, getting 80% of ordinary shares. But there is another possibility where Petrobras could cover other shareholders, because Petrobras has the right to cover any offers? In this case, would you still have a tagalong for 100% of shares in the event for instance, that Petrobras covers ADNOCs offer or Apollo's, or would you not cover shares in that case? That wasn't clear to me. The second question about the spreads, the U.S. has always been a very strong market and we know that they have a strong relationship with imports and they are movers in the market really. I'd like you to give us a few thoughts about where you stand, what you think about the U.S. market. Can we hope to see a spread improvement in the next year already. Thanks to the U.S. involvement. I'd like to understand a little bit about that, please. Thanks.
Rosana Avolio: Thanks, Gabriel. Now about the tagalong, it is true this scenario that you describe is also not clear for us. We don't know yet either. I think it really depends on how any given potential transaction would occur and how the different steps in that process take place. Things could go either way. It really is not clear for me right now. Now with regard to spreads in the U.S., just to recap, up until the start of 2022, the U.S. was a net importer of, including polypropylene. And after the startup of two new plants, last year, they now became a net exporter. So Braskem has started looking at other markets in addition to the United States, and what we have been seeing ahead is a growing rise in capacity. We still don't know whether they will be realized, but they can be seen in the future. Our forecast or our expectation, I should say, for 2025, is that starting in 2025, the market will go back to being a strong market. Now that, that really depends on what happens over the coming year. We're not certain that, that will happen. It's just something that seems to be in the future. And it's important for us to also monitor the American macroeconomic situation. Although, this isn't happening, we do see an important job creation dynamic in the U.S. So we could even have -- even more positive demand than what I'm envisioning now. But since we're looking at a basic scenario here, we are still expecting currently the very start of 2025 to be this inflection point.
Operator: Our next question comes from Luiz Carvalho with UBS.
Luiz Carvalho: Hi, thanks for taking my question.
Roberto Simoes: Luiz, I don't know if it's just on my end, but I can barely hear you. Luiz, I'm sorry.
Luiz Carvalho: Can you hear me now?
Roberto Simoes: Yes. It's pretty muffled for us. It's still a little muffled.
Luiz Carvalho: Okay, I'll try to speak up. I'd like to ask about this other topic you mentioned Pedro. There's been announcements made about the interest to develop a vertical vertically, I should say. Could you please confirm with us about the right of preference? Because how can we benefit the company without hurting the tagalong the clause? And also what do you think about being a minority shareholder of Petrobras? And what about closing out the forecast.
Roberto Simoes: We do apologize from the interpretation Luiz, it’s very difficult to hear this question.
Luiz Carvalho: There's something we've looked at a few times, and it might be worth revisiting. What would be the potential synergies in spinning off the company? For instance, in North America, in terms of potential inputs and fiscal consequences. Thank you.
Roberto Simoes: Alright, Luiz. Well, with regard to your first question, this again, comes down to the same scenario that we are -- it falls under the same scenario that Gabriel's question did. To be honest, it really depends on what the actual step-by-step developments are in any potential purchase. Petrobras does have the right to cover any third-party offers.
Luiz Carvalho: Now, today we don't have a clear conclusion about what would happen to tagalong or what tagalong would look like within that scenario. Would it be a 100% or would it be a tagalong that follows the DSA rule, namely 80%?
Roberto Simoes: And that's something that today we don't have a concrete answer to give you. I think it really depends on a concrete case and what actually happens and how things actually develop. We have discussed this internally some time ago. This is a scenario that could happen, so we have had internal discussions about this. Oh, let's talk to legal counsel. Let's investigate this scenario. But it really depends heavily on concrete cases. So it wouldn't be very productive for us to hypothesize about a topic like this.
Luiz Carvalho: With regard to spin offs, and a scenario, as you mentioned, where the company is sliced up and sold to different parties?
Roberto Simoes: Well, our operating synergies first, there is a synergy at the point -- at the endpoint with regard to the purchase of raw materials. We currently purchase raw materials for Brazil, this is result of agreements made for Europe. This is also done for Mexico. But that's raw materials. For industrial, we do have lots of knowledge being shared, as well as best practices. We have a policy that allows us to hire and promote within the company and to have specialists in different fields and reactions in furnaces, and in many other different specific fields. So if that ceases to be the case, we will potentially lose this kind of specialized skill. Next, in industrial management, there is a search for global competence. This is coordinated around the globe. And this is, again, something that could potentially be lost. Our production is also coordinated in an integrated manner. So that means that we look at the different throughputs in many different regions. This is company-wide and of course, the sales management for exports. We today, we don't have separate sales teams handling international and national sales. It's all done by the same team. So there's synergy there that would be lost potentially. So in the case of a potential split, there are some synergies that would be lost, some of which have a greater financial impact. I would say that this would lead to a drop in efficiency and things of that sort. And there is also another element that is highly dependent on how these things actually develop, and that is the capital gain. Because today, Braskem, especially in the U.S. and Europe has very favorable positions especially, because these operations were developed during a very good period. So the cost of acquiring these operations would be much lower than the potential that was created when these operations will put into place. I don't know if there's anything else, but this is what comes to mind right now.
Luiz Carvalho: Just to spin off my first question, with regard to the values from what I understand, Petrobras does have the right to cover third-party offers right now? And at a later moment in time, whether or not the tagalong to that situation is used. The price could potentially be lower than other offers, is that the case?
Rosana Avolio: Well, it if a shareholder decides to implement on OPA, my understanding is that -- well, let me restart, in the case of an OPA, based on a tagalong, we would need to use the tagalong price, that's one case. Now if it is not a tagalong based OPA, then it's just a matter of market prices. You can name a price, and investors can and buy or sell if they're interested. But the OPA has to follow the minimum price established during the tagalong. Now if it's a -- let's call let's say a voluntary OPA, then this is a voluntary price, okay. Whoever wants to make a purchase, can make that purchase.
Luiz Carvalho: Of course, yes. Thanks, everyone.
Operator: Our question comes from Leonardo Marcondes with Bank of America.
Leonardo Marcondes: Hi. Good morning, everyone. Most of my questions have already been taken. I do have one last question. About the spreads in the U.S. and Europe, but it's more about costs. When we look at polypropylene prices, historically, there have been discounts. For instance, in 2022, however, you purchased with the premium and it looks like this year, there was a discount again on your purchase. Could you explain a bit about what you see looking ahead?
Rosana Avolio: Hello, Leo. Thank you very much for your question. What's the dynamics of the American market? What are the competitive advantages for Braskem America, so that we can have a differentiation when we purchase feedstock. First, Braskem is the largest producer polypropylene in the United States from the conceptual viewpoint. Any large producer can get better prices. This is just natural considering our main characteristics in the United States. And this is premium price that would depend on a number of variables, it would depend on the variables of the spread or inventory costs. It will depend on the demand in one end. So there are many variables at play. So it's important to mention the advantage that the company has as producer of polypropylene in Americans. And depending on the conditions we can consider a premium commercial negotiation, inventory levels and different other conditions that we consider at the moment we make a decision.
Leonardo Marcondes: Perfect. Thank you, Rosana.
Operator: [Operator Instructions] That concludes the Q&A session for the day. I would like to turn the call over to the company for their final remarks. You may proceed.
Roberto Simoes: I'd like to thank all of you for joining us in our earnings call. And I'd like to conclude with a few general remarks from the administration. This quarter had good results. This is based on an improvement to operating performance, and also considering more favorable conditions internationally, not just in terms of demands in different regions, but also spreads. In any case, the pace of the growth of international demand over this year is not yet set in stone. We've discussed this during some of our presentations. And for that reason, we will continue to seek out strategies to maximize synergies between the different regions, where we operate, and also leveraging our competitive position in the global cost curve. We should highlight that these synergies between different regions are possible, due to our raw material profile. We discussed this as well, as well as product suppliers or vendors and clients, and the vast diversity of regions where we operate helps to leverage Braskem’s as a leading company around the world. Whatever the case may be, we will remain focused on maximizing initiatives to maximize our working cash flow, as we've mentioned. And also seeking out new ideas and initiatives to improve our financial status. And lastly, I'd like to remind all of you that we continue to have a very solid credit rating, a very robust working cash position. And a very, very long and extensive debt repayment flow. This is all based around the petrochemical sectors different criteria, different conditions. And I'd like to thank all of you for joining us in this call. And I look forward to meeting you again in August, when we announce our second quarter's results.
Operator: That concludes Braskem’s video conference for today. Thank you very much for your participation, and thank you very much for using Chorus Call.